Operator: Ladies and gentlemen. Thank you for standing by, and welcome to the First Quantum Third Quarter Results Conference Call. (Operator Instructions) I would now like to turn the meeting over to Mr. Clive Newall, President. Please, go ahead, Mr. Newall.
Clive Newall: Thanks very much, operator. Thanks everyone for waiting. Well, we go everybody onto the call. We've got several First Quantum personnel on the call including from our finance team, Hannes Meyer, CFO; Juliet Wall, General Manager of Finance and Libby Senez, Group Reporting Controller. From Projects, we've got Zenon Wozniak and John Gregory our Group Consulting Mining Engineer and of course, Sharon Loung, Director of IR. Following a few housekeeping items and some opening comments, Juliet will go through the financial results were published yesterday after the close of the Toronto market. After that, Zenon will give an update on process at our projects, then we will open the lines to take questions. Just a reminder, the presentation which accompanied this conference call is available on our website, www.first-quantum.com and can be accessed either on the Events section or on the Q3 2014 results conference call button under the News section of the homepage. Before we begin, I must note the course of the conference call will be making several forward-looking statements. And as such, I encourage you to note the risk factors particular to our company, which are detailed in our Annual Information Form and available on our website and on www.sedar.com. Now to begin the review. Comparative net earnings for the quarter totaled $137.2 million, or $0.23 per share, which is below last year's comparative period that's slightly ahead of the proceeding second quarter, this year. This quarter's operating and financial results were marked most notably by continued constraints on Kansanshi from the current lack of in country smelting capacity and lower grade as anticipated at Las Cruces, Çayeli and Pyhäsalmi. Also while it did not have a significant impact from the company's overall results. Guelb Moghrein did experience a 21-day production suspension in September, workers are back on the job now and discussion is continuing with the unions. On the positive side, the quarter showcased Kansanshi's operational flexibility with higher throughput in the mixed circuit as it reacted the higher sulphuric acid prices and of course Ravensthorpe continues to operate steadily. I would also like to acknowledge here the passing of President Sata of Zambia on Tuesday of this week. We extend our condolences to the citizens of Zambia, as they embark on this period of national mourning in transition. Former Vice President, Guy Scott is now Acting President and under the constitution his 90 days to hold a Presidential by election. It is worth nothing that the country did have a recent similar experience in 2008, when then President Mwanawasa passed away, while in office. Also in Zambia, during the course of over two development that are of importance to First Quantum. The first regarding VAT requirements and refunds that have been outstanding from the government since 2013. In early September, there was an announcement about an amendment to Rule 18 to remove the two contentious requirements of obtaining import documentation from the final export destination and for the payment from the sale from exports to be directly into Zambian bank accounts. This amendment was proposed to be effective on September 8, 2014. It was also mentioned that the government intention to pay the refunds owing. However to-date the amendment was not been formally gazetted and implemented and therefore receivables continue to accumulate. We are working with several organizations and parties to move the matter forward. As you know, this is something that affects not only First Quantum, but all exporters in Zambia and involves significant amounts of cash. Our current expectation, is that the amounts related to 2014 will be repaid by the government within a 12-month period. The second item was the Budget Speech, which included proposed changes to the mining tax regime. Specifically the elimination of corporate tax for certain categories of mining activities and the increase in the mineral royalty rate to 8% for underground operations, and 20% for open pit mine. This compares to the current royalty rate of 6% corporate tax of 30% and a variable profit tax about 15%. Essentially, this is all the information we have in the budget at this moment. While the proposed changes were to be reviewed by Parliament in the fourth quarter before being put into law, we're unsure where that process stands now. It's not clear to us, whether parliament will reconvene before the elections or whether the constitution commits the passing of laws during this period of transition. I will now ask Juliet to take us through the financials.
Juliet Wall: Thanks, Clive and good day, everyone. First of all, turning to the 1 Slide, which is Q3, 2014 highlights? So copper, nickel production for the third quarter both decreased on the corresponding quarter last year. Copper production was 101.6 thousand tons for the quarter, down 12.9 thousand tons or 11% versus Q3, 2013. For the nine months year-to-date copper production is 8% higher compared to last year. Nickel production for the quarter, 11.9 thousand tons is, 0.6 thousand tons or 5% lower than the prior year quarter. Year-to-date nickel is 4% higher than last year. Copper C1 cost is higher, at $1.44 per pound compared to $1.16 per pound in Q3, 2013. $1.16, in Q2013 is what setting us particularly low, by driven partly by lower asset consumption at Kansanshi and also higher cathode premium reflecting higher grades. Nickel C1 cost was 8% lower at $4.52 per pound compared to $4.90 per pound in Q3, last year and comparative earnings of $137 million was slightly below the prior year quarter, while comparative earnings per share were just $0.01 lower at $0.23 for the quarter. So, turning on to the next slide, on production. As shown by the graph to the side. The Group saw a lower production again Q3, 2013 base copper and nickel following relatively strong performances is in the prior year quarter. Copper production of 101.6 thousand tons was 11% lower than the corresponding quarter, last year, due to low grades of all copper operations with the exception of Kevitsa, achieved record production of just under 5,000 tons that contained copper for the quarter. Kansanshi's reported an 11% decrease in copper production compared to the prior year quarter, primarily due to lower sulphide throughput and lower oxide ore grade, with the mine acted to produce higher proportion of cathode and limit asset consumption ahead of the ramp up of the copper smelter concept. Guelb Moghrein copper production was also impacted by the 21 days of lost production in September, as a result of industrial actions within approximate volume impact, let's just say, that's 2,000 tons. Year-to-date copper production was 8% higher than the prior year reflecting additional contribution from the whole nine months production from acquired operation. Nickel production was 11.9 thousand tons, was 5% lower than the corresponding quarter last year, with Ravensthorpe 2% lower, on unfavorable grade. Partially offset by higher recoveries, while Kevitsa was 16% lower [indiscernible]. At Kevitsa, it worked to convert the pebble mill to a ball mill has been completed with recovery improvement expected to following. Gold production was 21% down on the prior year, also due to mainly to lower grades at Kansanshi and Guelb Moghrein. Production at Guelb Moghrein was also impacted by reduced throughput about industrial action mentioned previously. So moving onto the next slide, copper C1 cost overall group copper C1 cost of $1.44 per pound for the quarter, is $0.26 or 24% higher, than Q3, 2013 as previously mentioned Q3, 2013 is particularly low, Q3 low profit in Kansanshi and higher cathode premium and less throughput. Compared to Q3 last year, Kansanshi's C1 cost increased 32% due to higher leaching cost and treating higher-acid consuming oxide material and higher mining costs from reduced mine development and ore reclamation from stockpiles. So turning to the next slide, which is on nickel C1 cost? The Group nickel C1 cost, was $4.52 per pound and $0.38 or 8% lower than Q3, 2013. So Ravensthorpe nickel C1 cost of $4.79 per pound, was $0.06 lower than the same quarter last year. Primarily driven by the reduced freight costs and higher total credits. Kevitsa nickel C1 cost to $3.24 per pound was $2.27 lower in the Q3, 2013 with reduced treatments and refining charges partially offset by lower payable and higher processing cost from the lower nickel production. So moving onto the next slide, which is of course, financial overview and so sales revenues of $885 million, was in line with Q3, 2013 as the higher average realized nickel prices offset by lower sales volume. Looking at gross profit, the gross profit there of $240 million for the quarter, was $253 million or 21% lower than Q3, last year mainly due to the higher copper cash costs an increase in depreciation of Kansanshi. Depreciation of Kansanshi was higher and that was due to the through depreciation previously capitalized deferred shipping cost. We are just looking at comparative EBITDA, earnings and earnings per share, these were all slightly below the corresponding quarter last year. On the next slide, gross profit Q3, 2014 versus Q3, 2013. So this waterfall chart detailed, the Group's gross profit in the quarter compared to the corresponding quarter last year. So as previously mentioned, the Group benefited from higher realized nickel prices in the quarter, there in the price section, and then copper and gold sales volumes were lower across all operations with the exception of Guelb Moghrein, while nickel sales fall into lower at Ravensthrope. So higher mining and processing costs experienced at Kansanshi Las Cruces higher processing costs reflect lower grades in line with that current decline pattern [ph]. As mentioned previously, Kansanshi also recorded higher depreciation. So turning to the next slide, that's on quarterly net debt, quarterly net debt movement. The Group ended the quarter in the net debt position of a little over $5 billion compared to just $4.3 billion at the beginning of the quarter. Working capital was increased slight during the quarter mainly due to an increase in consumable stores in Zambia, in line with the ramp up for Sentinel and Kansanshi smelter complex, and also higher copper concentrate stockpiles at both Kansanshi and Guelb Moghrein. Tax paid for the quarter was $60 million, mainly relating to payments made by Kansanshi, Las Cruces and in Finland, Çayeli and [indiscernible] as well. Next interest paid for the quarter totaled $111 million, which included $109 million of capitalized interest. $597 million was spent on capital expenditure in the quarter, which included $157 million that paid for Panama and then there was $180 million at Trident and $188 million at Kansanshi. The spend at Kansanshi include $90 million on the smelter project, $32 million on power line, $70 million on circuit expansion, $8 million on the housing and schools, $5 million on mining fleet and then as well as $29 million on capitalized fitting. In order to complete the proposed acquisition of Lumina Copper Corporation in addition to the 6% stake that company already held, the value of cash and shares exchanged, to purchase the remaining share was $4.6 million including a cash components of $190 million and equity of $260 million. At quarter end, the company at just over $1.4 million of committed undrawn debt facility available and $534 million of cash and cash equivalents including $82 million restricted cash. So coming to the next slide, market guidance. So in summary, the Group production guidance remained substantially unchanged. Copper production guidance has been narrowed very slightly within the previous existing range for 2014 to a range of 419,000 tons to 436,000 tons. Nickel, zinc, palladium and platinum guidance remained unchanged, while the lower range of gold has been revised very, very slightly reflecting in the industrial action of Guelb Moghrein to a range of 218,000 ounces to 237,000 ounces. Full year guidance for the copper and nickel C1 cost remains unchanged and then expected total 2014 capital expenditure also remained unchanged as approximately $2.2 billion to $2.4 billion excluding capitalized interested and then the pre-commercial production cost at – and as well as asset acquisition of Lumina Copper Corporation. The CapEx forecast is approximately $600 million for each of Cobre Panama, Trident and Kansanshi major project mining fleet and housing. Kansanshi major project include approximately $300 million on smelter, $90 million on circuit expansion, $110 million on power line, $40 million over the mining fleet and $35 million on housing and schools. In addition, the Group forecast includes approximately $60 million at Guelb Moghrein, which includes magnetite and mill upgrade projects and for the Group as a whole, includes capitalized stripping of $165 million [ph]. Thanks very much and I'll hand back over to Clive.
Clive Newall: Thanks very much, Juliet and now I will back it up to Zenon, who'll give us an update on progress and some milestones achieved at our projects.
Zenon Wozniak: Thanks, Clive. Well, the very exciting news during a week from a projects point of view, was the milestone event of first of all introduction of Sentinel. We successfully processed ore through the in-pit crusher and transferred ore through the overland conveyor network with stockpile. Well our commissioning team is on a high, as we continue our process commissioning activities at Sentinel. We have fully tested the milling circuit previously as a dry run and we expect commencing operations with ore shortly. Our Sentinel CapEx at this milestone point in time is around $1.85 billion committed, to $1.7 billion incurred. Enterprise construction activities is now ramping up significantly because at the Sentinel project release it construction resources, these are able to be deployed under the enterprise construction. At Kansanshi's and the smelter, we are making strong progress in completing the construction and progressing the commissioning. We are currently commissioning and test running various sections of the smelter plant including the material receivable, blending and reclaim, reagents additions, air and water system and the oxygen plant. We plan to start initial operations, by proving the material handling section of the plant along with the anode casting and will be followed by placing the ISASMELT and Peirce-Smith converters into operation. I will also add, that some of our latest spoken about projects have progressed well. For example, we completed the new sag mill installation at Guelb Moghrein in July and we are currently in the process of commissioning the magnetite plant that we have constructed there. At Cobre Las Cruces, we completed an upgrade project to the crushing section and we are now completing a new and improved filtration circuit incorporating three new pressure filters through replace existing bulk filters. This plan for the new filter circuits is being commissioned in November. As you can see, we have multiple projects being completed now in Zambia, Mauritania and Spain and it is proven to be an exciting period of time. In Latin America, Cobre Panama work continues. Our detailed design have all progressed and the majority of mechanical equipments for the projects have been tented and rewarded. On site, the main focus is currently earthworks. Our earth works at port area is nearing completion and the earth works at process plant is going steadily with minimum stockpile areas mostly done, followed by the flotation area. Some concrete has been poured, but the ramp up in concrete work will ready be from early 2015, once we were able to additional construction personnel from our other projects across the Panama. Thanks, Clive and I will hand the call back to you.
Clive Newall: Thanks, very much Zenon. So with that, operator could you please now open the lines of questions.
Operator: (Operator Instructions) our first question comes from the line of Brett Levy with Jefferies. Please go ahead.
Brett Levy – Jefferies LLC: Good morning, guys. Can you talk a little bit about what you see as the likely scenario for these elections is the Vice President similarly inclined towards, a similar regime of taxation and financial support for mining operations in his country, is there a party that is more Chavez-like, that would be threat to nationalize. Can you sort of tell me, what you're seeing on the election front right now?
Clive Newall: Well, it's very early days, but all we can say is that we expect Zambia to follow the constitution to the letter. So the Vice President will arrange election within 90 days, so before mid-January of next year. In that interim period, he had limited authority, if you like his principal role is to organize the funeral in return of the President Sata's remains to Zambia and to arrange the forthcoming election within the constitutional requirements. As to the likely outcome of the elections, it's far too early to tell, the various parties are still organizing themselves and I wouldn't like to comment at this stage.
Brett Levy – Jefferies LLC: Alright and then, also in terms of the new tax regime. I mean, it seems as if what they're doing is it, more going after revenue and they're less going after profits and that takes some of the variability out of it, but in terms of the overall effect on your cash flow. Does the new tax regime look very much different in terms of how much cash comes to your bottom line in the old tax regime?
Brett Levy – Jefferies LLC: You want to deal with that, Hannes?
Hannes Meyer: Yes, I'll deal with it. Essentially there were two buckets in the past; royalty buckets and tax bucket and all that stuffed into one being royalty, now going forward. So – basis, if you look at depending on prices such as what the effect on a cash basis – and I think you know – they should be eliminated some of the variability in the profit from the government's point of view or government tax relation that is which, mining companies would suffer in a lower price environment. So if you could lower copper price environment, it's certainly taxes, [indiscernible] then, it.
Brett Levy – Jefferies LLC: So I mean, is there any way of quantifying, kind of in the current earnings dynamic. Whether this is a plus or a minus?
Hannes Meyer: Brett, it very much depends on your copper price assumption. We do have an effective tax rate of 43% or just under 43% and there's current a royalty of 6% in place. So that give you December, 46% effective tax rate, but depending on your C1 cost and the cost of price assumption. You know there could be an impact. As a positive or negative. The big influence that this would have though, is ongoing forward or on any new capital project, is that you don't have the capital deduction. I mean, we don't have all the detail. I mean, the announcement has only been in one small paragraph in the budget, but we'll need to get the detail, but if there is no relief in terms of new capital projects I mean, you do lose that being effect. Lastly, if you look the budget when it comes out in a few weeks’ time.
Brett Levy – Jefferies LLC: Alright and then, can you guys just give a little bit Cobre Panama update?
Clive Newall: Zenon, can you do that?
Zenon Wozniak: Yes. Basically at Cobre Panama, we are working on the earthworks predominantly, which is going well at the port. So the port area is looking very good. The material offloading facility is set up, so we can bring material in by the port, if we want to. The port is connected to mine side area, with the coastal access road, which is in place. Some of the finishing grade is happening and at the mine site, we are working on earthworks. At the facility, the earthworks job as you're no doubt aware. So that's going steadily and quite well and really stockpile also looking good, we are working in the floatation area now and working down towards secondary crushing. We've established for concrete work, so our batch plants and things are set up, our equipment is there. We are running to get some more SQM construction supervision across, once we finish our other projects in Zambia, etc. and that will help us to ramp up those activities. Currently, we've got 700 or 800 people they're about on onsite, daily as the construction workforce.
Brett Levy – Jefferies LLC: And on time on budget.
Zenon Wozniak: I like that. At the moment, there is no major red flags at all. We've got some ups and down, our mechanic flips it and purchasing has gone well. We are lower on the earthworks qualities at the moment. In primary, it's been expect, so at the moment pretty well tracking on track, that you know there is a number of years to go, we will keep working pretty hard and being very diligent of what we are doing.
Brett Levy – Jefferies LLC: Thanks very much, guys.
Operator: Our next question comes from the line of Tom Meyer with CIBC. Please go ahead.
Tom Meyer – CIBC World Markets: Thank you. I'm wondering, if you could help us out. Now that we are closer to it. How the balance of the ramp up at Sentinel and smelter will work and just in broad strokes, should we anticipate the smelter being the first to ramp up, as a priority and then Sentinel to follow or is this, more or less a parallel process?
Clive Newall: Clearly, the emphasis is on the smelter because the smelter is the key to everything else, but the two are ramping up or will ramp up in parallel more or less. Zenon said, you know we are getting close to putting or through Sentinel, right but and it will ramp up over a period of time. Meanwhile, smelter will be starting up toward the end of the year and that ramp up as you know is less easy to be precise about the timing thereof, but they hopefully will be sufficient all coming from Sentinel, in combination with Kansanshi and the stockpile at Kansanshi to match the smelter ramp up requirements. Even whether the power line not being available until perhaps the middle of next year, the second power line.
Tom Meyer – CIBC World Markets: And then, I noticed in the notes there is a reference to initial thoughts on a 2.4 million tons per annum smelter versus the Phase 2 which was to be 2 million tons and so Phase 3 going 2.4 million tons, what was the thinking on that?
Clive Newall: It's generally allowing for a more and more sulphide focused operation going forward with Kansanshi, specifically and the continuing lack of smelting capacity in the region across.
Tom Meyer – CIBC World Markets: Okay and then just one more comment on the that delay with the power line, it looks like it's more of a Zesco issue and there is some wording that you can perhaps help them out and perhaps come in earlier than July, is it like a June, if you were to speed things up or is it or to be quicker than that?
Clive Newall: I think, it's still to mid next year, I don't think we can be that accurate, Zenon do you have any view on that?
Zenon Wozniak: Well, we'll work as much as we can, with the contractor and help them, if possible. So we will say, actively involved but probably around the middle of next year is that is accurate, as we can be at the moment.
Tom Meyer – CIBC World Markets: Okay, thanks very much for your time, Zenon.
Operator: Our next question comes from the line of Matt Murphy with UBS. Please go ahead.
Matt Murphy – UBS Investment Bank: Hi, just following on this, the tax discussions. Were you guys consulted at all before the budget was announced or was this, pretty big surprise?
Clive Newall: Matt, we had various discussions with government many times through the years and I think I'll leave at that.
Matt Murphy – UBS Investment Bank: And since it was announced, have you had any meetings with anyone I mean, Barrick [ph] made some comments today. They said that, they saw there was a lot of room to move. Do you have any color like that?
Clive Newall: No, I don't have any color like that.
Matt Murphy – UBS Investment Bank: And if we went down the path, where you know they talked about if this went forward the economics of La Mona [ph] will seriously challenge. If we went down the path of if this gets implemented and they make a tough decision to suspend operations, would that be positive for you. I mean, in terms of we are leaving smelter tightness or would that be negative because you know, you want more players in Zambia to help sort of keep the industry fee to the country?
Clive Newall: Yes, I don't think closing any mine is at any time positive in a country. I mean associated with us you get – impact overall in the economy, so I think it's you know I wouldn't find that as a positive, I think you need more players in the business. I mean, it makes the industry overall stronger.
Matt Murphy – UBS Investment Bank: Yes, okay and then maybe just one Kansanshi. It sounds like you're shifting back to sulphide. Is there just not enough assets or you finding the oxide ore is consuming more asset, than you planned or is it just price?
Clive Newall: Yes, I think going now, we are in a very high gangue asset consuming oxide ores and acid is very expensive, but acid come assumption gangue acid consumption varies all the time. So it will change, later in the year, but next year. The gangue acid consumption will be significantly lower from oxide then, so it does change around, but for the moment. We need to revert to more sulphide mining in processing.
Matt Murphy – UBS Investment Bank: Okay, thanks.
Operator: Our next question comes from the line of Ian Rossouw with Barclays. Please go ahead.
Ian Rossouw – Barclays Capital: Hi, guys. Just two follow-up on Matt's question. Could you just give us the figure for where we are on concentration stockpiles at Kansanshi at the moment. Hopefully, with the focus shifting back to sulphide, do you expect that stockpile to increase at a faster rate?
Clive Newall: Kansanshi stockpile is a just a little but 230,000 and this is at the moment, there is not at quarter in and we do expect this to increase, while the smelter is ramping up, and as we get ramp up at smelter, you see that the later on decrease and in our stockpile.
Ian Rossouw – Barclays Capital: Okay and maybe just sticking to Zambia, just on the power situation. I'm wondering, if you can give an update on the availability in generating capacities, if you've had any issues at Kansanshi and then just in the context of that power line from Wamba being delayed until July. Obviously, that was obviously a key thing to bringing reliability not only to Sentinel ramping up the second line, but also to Kansanshi. I mean, do you foresee issues around ramping up this smelter, given that the power is not really reliable yet?
Zenon Wozniak: Let me try and answer that last one, first and then Clive, you can jump into it any point in time. With the current power situation, power has always been a problem in Zambia for years and years and years. So it's never just a slam dunk and we were always careful, with how to operate. The smelter power demand, will be catered as is at the moment, it doesn't require that additional line to be installed. So once that additional line is installed and it closes the loop. It does make the power grid more robust. So it will obviously help from that point of view. So we won't be constraint at Kansanshi in terms of power flow starting or running the smelter and then in terms of the power line, say by, middle of next year. From itself, that's not a big issue because we will take some time to ramp up at Sentinel or going into the wet season as you know. So we will ramping up the plants and the mines and it wouldn't have drawn the incredible amount of power in a very short period of time, anyway. So there is a ramp up profile to Sentinel and power is not a huge constraint at the moment. Once it's installed, obviously the whole grid will be more robust and there will be excess power. So that would be a positive.
Ian Rossouw – Barclays Capital: Okay. and maybe just something over to Kevitsa, it looks like your recoveries were impacted there by some chemistry, all chemistry issues. I mean, do you see have you seen any improvement post the quarter and what profile are you expecting over the next, sort of couple of quarters?
Juliet Wall: I think the profile was expected to return more to the levels, seen in previous quarters you're right, there was something slurry chemistry impact in the quarter, but it should return more to expected.
Ian Rossouw – Barclays Capital: And getting back to or sort of getting to the eventual sort of design rates of 80% have you still quite a faraway off at?
Juliet Wall: Not in the shorter turf, but not within, that's not the level within the forecast. The shorter term forecast is more around returning to the previous quarter's level.
Ian Rossouw – Barclays Capital: And maybe, something just one final one from me. On the balance sheet, just wanted to get a sense from Hannes what's your expectation of draw down over the next few quarters. I mean, you seem quite a big jump in the net debt figure and where do you see that peaking next year and just how do you sort of, I mean with the lay and some of the ramp up. Do you expect the net debt to peak at a later stage and then – that's obviously not aligned with the drop down in the covenants in July?
Hannes Meyer: In the, I mean Zenon has said, given as the numbers in terms of these project and what's been to date, and what's left is been, so we are nearly at the end in terms of Sentinel and the smelter. So we are in the last phase, the last quarter or two -- CapEx spend on those two projects. So you will see the CapEx number coming down. You will see the increase of revenues in from realizing some of that stockpile, whether through out and through smelter in the copper belt. So that's what has a positive effect on our innings going forward. We do expect the EBITDA to peak, or the net debt to EBITDA ratio, which is a ratio to peak sort of mid-year and it's probably around 3.5 times ratio that will get to. And before it's difficult get it down at, as we start generating more earnings. You will see that ratio then improving because that will improve, drop down below three and move a little quite quickly and then sort of closer to the two markets in the longer run and I think, if you look at total debt to equity type ratio. We expect there to increase – stay below 35% in the near term.
Ian Rossouw – Barclays Capital: Okay, thanks guys. I'll leave it there.
Operator: Our next question comes from the line of David Charles with Dundee Capital Markets. Please go ahead.
David Charles – Dundee Capital Markets: Good morning, just maybe returning Cobre Panama. I'm just wondering, could you maybe give us some color where you are, in your negotiations with Franco-Nevada in order, in your MD&A that you still haven't drawn down any forms. I'm wondering, you intent to draw down any forms, this year or is it look like, the negotiations are going to last quite a little while longer than that?
Clive Newall: I think, we can say, we've been very constructive discussions with Franco-Nevada, but it is confidential, commercial negotiations that we're involved in. so I wouldn't really want to way too much more, I think we haven't drawn down any of their contribution yet, but we certainly it remains our budget to do so, when we resolve this issue.
David Charles – Dundee Capital Markets: And you think, it's likely that you would try it down this year?
Clive Newall: I couldn't say, it's a negotiation to complete.
David Charles – Dundee Capital Markets: Okay and maybe just, there is also being some question as to whether, you guys might be able to do some sort of transaction with the Koreans with KORES [ph] at Cobre Panama, can you give us any color on that?
Clive Newall: I think again, there was sort of confidential discussions. There was a sales process initiated by KORES [ph], but I don't think we could comment any further at this point.
David Charles – Dundee Capital Markets: Okay, thank you very much.
Operator: Our next question comes from the line of Jean Devevey with Exane. Please go ahead.
Jean Devevey – Exane BNP Paribas: Yes, so on the second line at Sentinel, you expected at the end of Q2, that the second power line, would be completed by the end of this year, we are not talking mid-2015. I just wanted to understand a bit better, what happen over the past three months to read to that, half year delay and secondly, what level of confidence do you have, that it will indeed be completed by 8/1/2015?
Clive Newall: Zenon, do you want to talk about the actual contracts and how that came that, the changes?
Zenon Wozniak: Sure, basically it was a change in contractor. So there was a change in strategy that Zesco under talk, which then, meant there was a change in contract, they were getting the work. So there is a different program being worked to. I think the level of confidence is quite high, that the work would be completed by middle of next year. It's not a particularly long section, it's about 145 kilometers long. We are still busy on the 400 kilometer long section and that would be finished and finished that during January. So I think the confidence level, around middle of next year, around that time for the 145 kilometer length of line, is quite good.
Jean Devevey – Exane BNP Paribas: Okay, thanks and is there any risk to bear additional CapEx on that power line?
Zenon Wozniak: Sorry, whether there is additional CapEx. No, I don't believe there is additional CapEx on that power line.
Jean Devevey – Exane BNP Paribas: Okay, thank you and last question on that impact and how this will impact Sentinel volumes next year and you have not given any volume guidance so far on the project, but any indications here on how this will affect the ramp up of the project would be quite useful? Thanks.
Clive Newall: Well, we won't be giving guidance for any of our production until early January, when we put out our production numbers for this year. So it's a bit difficult to talk about that, without being held to, without having that guidance in the public domain.
Jean Devevey – Exane BNP Paribas: Yes, but I guess you have an internal beyond that and do you think, this effects the previous plans that you had before?
Clive Newall: Not enormously, as we said it, we've always predicated on the smelter and the ramp up of the smelter in the first half of next year. So without the, until the smelter is running for near full capacity, we will always constraint and how much we could put through Sentinel, at the moment the power line and delay in our small segment of power line is not really a critical item.
Jean Devevey – Exane BNP Paribas: Okay, understood. Thanks.
Operator: Our next question comes from the line of Greg Barnes with TD Securities. Please go ahead.
Greg Barnes – TD Securities: Yes, thank you. Clive, I've always try to understand the flow of concentrate milling Sentinel Kansanshi and the smelter. I was never really clear on, where the bulk of it concentrate for the smelter is going to come from?
Clive Newall: Are you on the line, Phillip?
Philip Pascall: Yes.
Clive Newall: Would you like to – would you like to answer that one?
Philip Pascall: Ultimately, we'd like to put something around about 40% Kansanshi and 60% Sentinel and that's more to do with the characteristics of the Kansanshi concentrate and the expectation is that, Sentinel will be easier for smelter to take on the fact. I was listening to the discussion you had on power and I just emphasize, that Sentinel is not constrained by power and probably weren't be fertile for a year anyway. Part of the reason for that, is that the all, near surface as is so often the case, is very friable and doesn't acquire a combination to the level that, we design for in a longer term and therefore, the capacity of Sentinel will be dictated more by the practical side of smelter in the coming, what we will get rid off. And our expectation is that, once it's running full out, as the current production out of Kansanshi is more or less than balance to both being produced for the moment at Kansanshi going to outside of smelters together with obviously a new smelter that's coping with our extra 1.2 million in tons. So that's the sort of balance and when Clive said it was important to have a smelter, to get that into operation, that is certainly what we are working on further to get it ramp up, starting in January. And as useful because we aren't under any delusions that, when you start a new mine like Sentinel, it's not realistic to turn it all, for the immediate need, simply because you're coping with an untrained crew and also current size, with the period of a gradual and steady ramp up is prudent and that matches, what we expect to be able to put through, the smelter. The great advantage of the ring main of power, I think was alluded to and that is it, it becomes much more robust, when we have that. There is the prospect, that they will finish before their current contractors dated about July because we are seeking to push them, with towers alike we have at moment and realistically, again because wet weather as well, it's likely to be mid-year and that's sort of, that's the balance of things going on and we reasonably happy with the situation, fits together quite well. It appears as Clive said to, was to smelter.
Greg Barnes – TD Securities: The smelter, the concentrate stockpile at Kansanshi. My understanding is, you can't really use that to ramp up the smelter because it has to sit out on the ground for a while and it's oxidizing, so it's not the best stuff to put in there. So is the initial concentrate going into the – itself going to come from Kansanshi fresh production?
Philip Pascall: Shut the power and concentrate, oxides about 1% over that two years, three years. So we don't see that as a problem at all, but we would like a blend with that. We can run it and we can ramp up with it. And it will get a blend because we did expect that will have feed when we want it from Sentinel.
Greg Barnes – TD Securities: And just the final question, what levels of concentrate should we be forecasting coming out of Kansanshi going forward?
Philip Pascall: I don't know, if you have a bigger …
Clive Newall: I think, somewhere between past year, as it should be higher for the rest of this year, due to the availability of the oxide ore, but you should be somewhere between 500,000 tons to 600,000 tons of concentrate per annum.
Greg Barnes – TD Securities: And that's on go forward basis?
Clive Newall: No.
Greg Barnes – TD Securities: Now, what rate is that?
Philip Pascall: Tons is about 23% on average, 24% of.
Greg Barnes – TD Securities: And why is it more tricky in the smelter than the Sentinel con?
Philip Pascall: It's not more tricky, but it does contain a little bit of selenium as used both to blend that out. So when it goes into one of the others smelters or it comes into ours, it used to have that figure blended down.
Greg Barnes – TD Securities: Okay and there is no, deleterious stuff in the Sentinel con.
Philip Pascall: No, there is some carbon and we will elute it out. It's actually benign after low level. I mean, if one gets too much of it then, it just uses the boiler capacity of the smelter, but as far, we will elute it out and then it actually help us enhance [indiscernible].
Greg Barnes – TD Securities: Okay, thank you. That's very helpful.
Operator: Our next question comes from the line of Ralph Profiti with Credit Suisse. Please go ahead.
Ralph Profiti – Credit Suisse: Good morning, thanks for taking my question. If I can just come back to get Kansanshi. I'm wondering, if there is going to be any benefit on strip ratios and mining cost in Q4, 2015 as Kansanshi processes more of these sulphide ores because there seems to be a trend of higher strip ratios with a greater proportion of use of the mixed and the oxide's ores. Just wondering, if you're seeing potentially offsetting impact on the mining cost, with the grade.
Clive Newall: John, are you there?
John Gregory: Yes. In a mining cost, have been running higher with stockpile removal and we've also being carrying more stripping to expose oxide material. This in turn has exposed mix and that subsequently will expose more sulphide material. Our strip ratio at Kansanshi does fluctuate. The current operational parameters don't indicate that we will continue to increase in stripped ratio and in fact in 2015, we do anticipate the plateauing and it's not a mild reduction. We are still looking at the way forward and that again will impact on strip ratio, but in essence there is detrimental impact on operating cost from a strip point of view, as we look towards increasing the sulphide production.
Philip Pascall: Is a matter of that, a relevance in the third quarter, which was in fact an heritage removal of one of the waste dump, that was done to expose oxide materials, which we'll see the benefit of probably during this quarter, but won't reoccur and obviously that removal is just an extra cost, sort of rather than saying which of those capitalized, when you do stripping. And as we go to move sulphide, there will be slightly modified line plan on every bench, we get sulphide, you get mixed material as well, it will be stockpiled as it is at the moment and it makes more rehandle has some cost. We can't get a perfect balance out of the mind, as it plant and so one other of these stockpile and that's going to mixed.
Ralph Profiti – Credit Suisse: Great, thanks John. Thanks, Phillip. If I could ask a follow-up. This partial drawn down in the credit facility in Q3, just wondering how much you can tell us on how this may involve and how contingent on it, is the precious stream and the ramped in on CapEx or is the amount that we are seeing more of a specific Q3, events?
Clive Newall: To which draw down here, are you referring to the Franco-Nevada stream?
Ralph Profiti – Credit Suisse: No, the revolving credit facility.
Clive Newall: I mean, revolving credit facility will draw down as we need for all those funds. As I explained earlier. We'll still see some capital in the next quarter or two or negative cash before start getting to a positive cash flow and earnings point of view towards middle of next year.
Ralph Profiti – Credit Suisse: I see, I understand that. thank you.
Philip Pascall: But I think that Juliet, described that the drawn down capital occurred during the third quarter, which is probably [indiscernible] increased working capital. You cover that, I mean, does that cover that subject?
Ralph Profiti – Credit Suisse: I appreciate it. Thank you.
Philip Pascall: For the one off, I mean, we are expecting a little bit of increase in the working capital in stockpiles, but we don't see an annualized [indiscernible].
Ralph Profiti – Credit Suisse: Thank you.
Operator: Our next question comes from the line of Oscar Cabrera – Bank of America. Please go ahead.
Oscar Cabrera – Bank of America Merrill Lynch: Thank you, operator. Good morning, everyone. Thank you for the discussion on the smelter and Sentinel that was helpful. If I may just continue on that, for a touch. When did you expect the smelter to be at 80% capacity utilization.
Unidentified Company Representative: Oscar, it's a very difficult one to answer because historically, we could build up a curve of how smelter ramps up over a period time. So what tends to happen is that, you can startup at smelter and run very well quite quickly and then have something that stops you and so you stop for a number of weeks and that's historically been the case of what is happened. So you could actually run at 80% or 85% in a relatively short period of time, but then if you have some issues that make you slow down or stop, as an average over period of time, it looks worse. So it really comes down to how well, that smelter is constructed and I think, how well that design is being thought through to try and cope with things that, have caught people at in the past. We put a lot of effort into that and hopefully, we won't be caught out with things that had caught people out in the past. It was very difficult to answer the question. I think it comes down to how many problems you had during ramp up and if your problems are relatively minor, then it would ramp up relatively quickly.
Oscar Cabrera – Bank of America Merrill Lynch: That's fair enough. I think in the last call, there was an observation that, the manufacturer thought six months and you guys were taking 12 months. So trying to asses because you know based on, what Phillip discussed on the ramp up of Sentinel will effect production quarter with next year and so I don't know, if you can add anything else, what you said?
Unidentified Company Representative: Well, I think the only other thing I would add is that, you can also get to a figure. Let's just say, 75% or 80% and then it's incrementally slower to then get improvements from there on. So again, when you look at ramp up curves historically, that tail of getting from 80% to 100% takes a while and in some cases, people never got to 100%. So you know they've got to 80% or 85%, never looked the 100% mark. So a gain, from a conservative view point, you would say look, it takes a 1 year to get up to 100%. You've actually built in some buffer for that tail.
Oscar Cabrera – Bank of America Merrill Lynch: Alright, okay. well thank you and just along the same lines. I'm assuming, that the production of asset on a sustainable basis can only be achieved at a certain capacity utilization. Would that be right or can you start producing asset on a certain levels, prior to get into that of already of operations?
Unidentified Company Representative: My understanding is that, the production of asset is essentially proportional to the percentage of the ramp up that you are at on the smelter. So if you are at say, 75% you would be producing 75% of the that asset, that we were expecting.
Oscar Cabrera – Bank of America Merrill Lynch: Okay, the reason for that question is and that leads to the next one. So in terms of your ability to produce more capital from the oxide ores. what would be the capacity, once you get to that, where do you want to produce a maximum sulphuric acid, compare to where you're now?
Philip Pascall: Currently, we are using about 1,500 tons a day, and 2,000 tons a day and that has crept up in the recent quarter, but by year it is immaterial. But I think the peak will be 1,000 tons that actual plant is expected to produce at the sort of standard running levels of the smelter about 3,500 tons and we don't expect, it will run ever much less than about 60% of that. So we will have from the smelter as much or more asset, than we currently have out of our plants. There is assets produced on the copper belt, and those people have produced it, do need to get rid of it and one operation in particular and we will probably continue to take their asset because only thing to get rid of it, we can digest it. So we are not going to have shortage of assets.
Oscar Cabrera – Bank of America Merrill Lynch: Okay, but I mean just based on, trying to establish here is there upside potential coming from the oxide one, is the smelter is heated compared to now?
Philip Pascall: Terminology and mixed and oxide not actually black and white. So in our oxide, always there is some sulphide and in the mix still, there is usually probably that has soluble copper, but quite a lot of sulphide and acid consumed materials. What we envisage happening because the circuit is capable of it and the upgrade we made, is it we will shift more oxide, more mix into the oxide circuit. So we will then be processing as oxide material that was previously mixed, that's the portion of the material that will have to be processed to be mixed, meaning in terms of oxide flotation will diminish and the result will be, that we'll be able to get higher recovery from material, otherwise had to view at oxide as floatation product, which is not so easy.
Oscar Cabrera – Bank of America Merrill Lynch: Thank you, Phillip. The other impact is on cost, if I may just last question. When Hannes was referring to the debt to EBITDA levels at 3.5 times, was that on a run rate basis or what sort of like metal prices were you assuming there, as a forward curve?
Hannes Meyer: Well that is looking, it is looking at the last 12 month, EBITDA and I mean, sort of around $3 copper price assumption.
Oscar Cabrera – Bank of America Merrill Lynch: Great, thank you very much.
Operator: I will now turn the call back to you.
Clive Newall: Well, thanks very much everybody for joining us today and thank you for your participation. I'm sure, there will be some follow-up questions. please contact either myself or Sharon Loung and we will endeavor to get back to you as quickly as possible. So thanks and good bye.